Operator: Good afternoon, and welcome to the Vyant Bio Third Quarter 2021 Conference Call and Webcast. Today, November 11, 2021, the company issued a press release summarizing results for the third quarter 2021 and will be filing its form 10-Q tomorrow morning before the market opens at 9:30 AM Eastern Time. Today’s discussion will provide an overview of activities in the quarter and is being recorded and a replay of the webcast will be available on the Vyant Bio website following the call. Alternatively, the link can be sent to you by contacting IR at vyantbio.com. All participants on this call will be in a listen-only mode during the presentation. The presentation will be followed by a question-and-answer session. At this time, I would now like to turn the conference over to Jay Roberts, Chief Executive Officer of Vyant Bio. Please go ahead, sir.
Jay Roberts: Thank you, Operator. Thank you all for joining the Vyant Bio investor conference call and webcast for the third quarter 2021. We’re pleased to have completed our second full quarter as Vyant Bio. Now that the merger and related integration activities are completed, we have directed our full focus on executing our business plan. Is also a great pleasure to speak with you today to share our enthusiasm and to give you some insight into how we envision the near term future of Vyant Bio. Additionally, we are going to present the financial results for the third quarter ending September 30, 2021. On the call with me today is Vyant Bio’s Chief Financial Officer, Andy LaFrence; and our Chief Scientific Officer, Bob Fremeau. Following the Safe Harbor statement, I will provide a strategic overview and update on recent corporate developments and the vision ahead. Then Andy will take us through a brief financial update and discuss key accounting matters for the third quarter. I will make some closing remarks, and then we will open up the lines for questions for Andy, Bob and me. I will now turn the turn the call over to our CFO, Andy LaFrence.
Andy LaFrence: Thank you, Jay, and welcome to all. We would like to remind you that various comments about future expectations, plans, and prospects, constitute forward-looking statements for purposes of Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Vyant Bio cautions that these forward-looking statements are subject to risk and uncertainties that may cause or ask results to differ materially from those indicated including risk described in the company’s filings with the SEC. Any forward-looking statements made on this conference call speak only as of today’s date, Thursday, November 11, 2021, and Vyant Bio does not intend to update any of these forward-looking statements to reflect events or circumstances that would occur after today’s date. This conference call is also being recorded for audio rebroadcast on Vyant Bio’s website at www.vyantbio.com. With that, I would like to turn the call back over to Jay Roberts. Jay?
Jay Roberts: Thanks, Andy. As I begin the call, I think it’s important to remind everyone that the third quarter was the second full quarter our company has operated as Vyant Bio. Today, we will highlight the progress and accomplishments we have made in the seven and half months operating is one business since the closing of our merger. We have repositioned Vyant Bio was an emerging global drug discovery company, focused on identifying small and large molecule therapeutics to treat central nervous system and oncology-related diseases. We believe there are significant value creation drivers in the drug discovery sector, and we intend to use our discovery engine to drive cost savings, speed, and insightful decision making to identify unique biological targets and novel therapeutics to treat patients with acute neurological and oncological indications. We have made promising progress, which we will highlight for you today. To begin, I’d like to recap a few non-financial highlights from the third quarter. First, we hired Robert T. Fremeau, Jr. as our CSO to lead our drug discovery efforts, including lead target, and candidate identification all the way to IND submissions. Dr. Fremeau joined us a few weeks ago and he’s already having a meaningful impact on our efforts in discovering novel therapeutics. He brings over two decades of drug discovery experience in academia and industry with a proven track record of excellence in next generation drug development focusing on severe neurological disorders and neuroscience disease indications. The scientific expertise has recognized internationally. Dr. Fremeau’s extensive experience with scientific research and drug discovery will be invaluable to us as we complete feasibility programs with leading biopharma companies, and further develop our preclinical and translational strategy for driving a portfolio of the therapeutic candidates from early discovery to human proof-of-concept. While we have yet to announce the completion of a biopharma co-development or licensing agreement, we are continuing to make progress in this regard, evidenced by two feasibility programs, we are running with potential long term partners. We believe these programs will show additional validation of our platform in conjunction with other proof points that are being worked on and will result in these potential partnerships taking shape early next year. To further support our biopharma partnering efforts, a few weeks ago, we announced the collaboration partnership we entered into with MASORI Therapeutics. MASORI is a U.S. and Tokyo-based technology and marketing focused company with a successful track record in the pharmaceutical industry. We entered into this engagement with MASORI to jointly pursue co-development and out licensing partnerships with pharmaceutical and biotechnology companies with our initial activities focused in Japan that leveraged Vyant Bio’s advanced analytics and complex human derived biology to drive drug discovery. The MASORI Therapeutics team has decades of experience in all areas of drug discovery and development, including building biopharmaceutical, commercial infrastructures, and partnerships from concept to consummation. In terms of our disease model development and compound discovery efforts, we continue making progress on our internal lead compounds and have deeper investigation of their efficacy and toxicity. In addition, we are deep into the investigation of the biological basis of potential lead compounds, specific mechanisms of action. Additionally, we completed a second large screening of AI-generated novel compounds for the Rett disease program in conjunction with our collaboration partner Atomwise, yielding promising results. These results include further hit expansion across two unique biological targets and several novel compounds. Our Rett program continues to positively iterate on narrowing our lead indication identification. To further validate our Rett Syndrome disease model, we recently ran additional screenings to show concordance of our data with clinical data have begun some animal efficacy and safety modeling, and are about to run a comparative screen of over 5,000 compounds to create additional validation data and will then be moving through the hit to lead optimization process. Also in Q3, we entered into a collaboration agreement with Cyclica combining Vyant Bio’s patient-derived complex organoid biology alongside Cyclica’s proteome-wide, Artificial Intelligence enabled discovery platform to identify new treatments for CDKL5 Deficiency Disorder. We have made significant progress in the CDKL5 program. Initially, we established and further optimized our internal micro brain platform to minimize variability and adapt it to specific neuronal phenotypes. On that note, we developed different state of the art assays to characterize the disease etiology further and advance our portfolio of genetic epilepsy readouts. Additionally, we have designed a library with more than 5,000 compounds focusing on well defined mechanistic relevant compounds with proven low toxicity and high clinical relevance for this disease category. Using our customized Vyant Bio library, we performed one of the most extensive functional phenotypic screenings leading to identifying many compounds that recover the CDKL5 phenotype as well as novel potential molecular targets for CDKL5. Finally, we identified new targets for further evaluation based on Cyclica’s machine learning proteome-wide platform and our internal expertise. The Ordaōs Bio and Cellaria collaboration also remains on schedule. As we previously announced, this collaboration is intended to introduce a drug discovery process to rapidly design, redesign and optimize biological drug candidates using Artificial Intelligence and in vitro patient cell based avatar clinical trials. The goal of the collaboration is not only to design candidates, they are likely to be successful in clinical trials, but have also been assessed for efficacy in numerous patient specific cell-based model before even making it to the clinic. The in-silico protein design has been updated to include state-of-the-art recurrent neural network structure with additional incorporation of new attention mechanisms. In addition, the in-silico model has been further trained on more than 20 million protein sequences. These improvements have formed the basis for a second round of novel protein sequences. Protein production will begin shortly on these novel designs and binding and functional assays for further proof-of-functionality will follow in the coming month. I will now turn the call over to Andy LaFrence, our Chief Financial Officer to discuss the financial results for the third quarter. Andy?
Andy LaFrence: Thank you, Jay. Hello everyone, and thank you again for joining our call. Today, I will review our balance sheet position as of September 30, 2021 in our financial results for the third quarter of 2021. As StemoniX was deemed to have acquired Cancer Genetics for accounting purposes and the merger closed on March 30, 2021, the company’s current year financial results include the Cancer Genetics operations since the merger date and the 2020 finance results are based on StemoniX operations. As the increases in revenues, cost of goods sold, and operating expenses during the three and nine months periods ended September 30, 2021 as compared with the corresponding prior year periods largely reflects the impacts of the merger, I will focus my comments on current year post merger activities. Cash and cash equivalents totaled approximately $23.2 million as of September 30, 2021. In October of 2021, we signed a $1.5 million lease line of credit and completed a $496,000 sale leaseback transaction. Total revenues increased by $1.2 million to $1.5 million during the third quarter of 2021 as compared with the same prior year quarter. For the nine months ended September 30, 2021, total revenues increased by $3.1 million to $3.7 million as compared with the prior year period. Cost of goods sold service aggregated $1.1 million and $2.1 million during the three and nine month periods ended September 30, 2021 resulting in a service cost of goods sold of 79.9% and 66.1% respectively. The increase in the cost of sales percentage for the third quarter of 2021 is compared with the 2021 nine month period was a result of de-leveraging of the service revenue cost structure from a reduction of service revenues in the 2021 third quarter, as compared with the second quarter of 2021. Specifically service revenue decline from $1.8 million in the second quarter of 2021 to $1.3 million for the third quarter of 2021. The company expects service revenue growth in early 2022, when contracted customer projects are expected to commence. Cost of goods sold product aggregated $355,000 and $1.1 million for the three months and nine months ended September 30, 2021 resulting in the cost of goods sold margin of 196 – the margin deficit of $196,000 and $715,000 respectfully. As briefly disclosed in our manufacturing – excuse me, as briefly disclose our product manufacturing capabilities at our Maple Grove, Minnesota facility currently have excess capacity to support future growth. During the fourth quarter of 2021, the company commenced the technology transfer of certain research and development activities that are currently being performed at the La Jolla California facility to the Maple Grove facility, which is expected to substantially increase this facility’s utilization in 2022. Research and development expenses for the three months and nine months periods ended September 30, 2021 increased by $349,000 and $472,000 respectively to $1.2 million and $2.9 million respectfully as a result of additional payroll cost and staff in the current year periods. Selling, general, administration expenses were $3.3 million and $8.2 million for the three months and nine months periods ended September 30, 2021. These expenses included $482,000 and $1.4 million of non-cash expenses for depreciation, amortization and stock-based compensation. I will close for now, and hand the presentation back over to Jay Roberts for closing remarks. Jay?
Jay Roberts: Thanks, Andy. As we come to the final part of this presentation, I would like to conclude with the following takeaways. First, I’d like to reiterate how pleased we are with the progress, our scientific teams are making on multiple fronts related to the existing programs we discussed today. There are activities in the third quarter focused, purely on establishing Vyant Bio’s foothold in the industry and helping to fuel our activities into the fourth quarter and beyond. Please stay tuned as we continue to make progress and begin to provide further validation and proof-of-concept results in the fourth quarter and first quarter of 2022. We also invite new listeners to become more familiar with Vyant Bio. As news and information becomes available, we’ll be communicating updates via press releases, LinkedIn, the new Vyant Bio website and other social media outlets. Interested parties are invited to sign up for the press release distribution list. Please visit our website. With that, I invite Andy LaFrence to join me in the opening up of the line for our Q&A.
Operator: Thank you. [Operator Instructions] And there is a question from Ed White from H.C. Wainwright. Ed, your line is live. Please go ahead.
Ed White: Good evening. Thanks for taking my question.
Jay Roberts: Hi, Ed.
Ed White: Just a couple, maybe just for Bob, just wanted to get your thoughts on how Vyant is going to make sure preclinical data validation translates into clinical data?
Bob Fremeau: That’s an excellent question. And we’re starting with diseases now for which there are monogenetic defects that have been well documented in terms of the pathophysiology in the clinic. And one of the key indications is going to be able to verify in the steroid organoid system that we can measure the biomarkers that are known to be clinically translatable in the human situation.
Ed White: Great. Thanks Bob. And maybe I can get from Jay some – just some updates on the Rett Syndrome your repurposed drug. I’m just wondering, I believe that you had been expecting that to perhaps get to lead identification by the end of this year. And then also, if you can discuss the timelines you mentioned in your former presentations two INDs ready for submission per year. I believe in 2022, that would be Rett Syndrome and CDKL5. We just wanted to get your thoughts on timing?
Jay Roberts: Yes, good. That was a great question. Yes. Thank you. So just on the first part of that question, well let me just say across both questions with Bob now having joined the team and leading our scientific and data science teams. He’s got a significant amount of expertise and throughout his career having picked up kind of, small groups of late stage discovery of promising therapeutic targets and targets and carrying those all the way through IND. And so he’s kind walked teams through that very carefully, many, many times in his career. And that’s a big part of, why we were excited to have Bob join us and that’ll be a big part of what he’s going to take us through. So it relates to the repurposed question, again with Bob only been on the ground for two weeks. He’s now deep into that program with us and we anticipate that the timelines as we laid out originally will continue as we think about it. We’re certainly making good progress if it’s not this quarter, it’s we anticipate that we’ll be making good progress into the first half of next year. And then, to your point, the other two programs behind it both Rett and CDKL5 will be put on a program as we announced today, as we talked about on this call, there’s significant progress that has been made on both of those programs. And so we’ll continue again under Bob’s leadership to drive those forward, our ability to, get to a place where we’re going to be meeting and to Andy’s a year we think is, a big part of our strategy as we think about going into the upcoming several years in front of us. And so that’s part of where we know we’ll continue to stay focused.
Ed White: Okay, great. And can you make any a comment or to on your, the status of the Parkinson’s and Huntington’s programs as well?
Jay Roberts: Yes, I think, again those are two places where we’ve been building disease models and that we have expertise in terms of, creating three dimensional organoid platforms that allow us to take those disease categories forward. Bob was also obviously actively involved in, getting his arms around the status and sort of the development of those programs, those remain on our – in our crosshairs, as being programs that will be, and things that we’ll continue to progress and to work on. And as of now that scientific teams continue, every day we’re doing work in those areas and progressing our disease model capabilities.
Ed White: Thanks, Jay. And maybe a final question to Andy, just wanted to get your thoughts on cash runway. You had mentioned you have cash of $23.2 million of both the as of the end of the quarter. Thank you.
Andy LaFrence: Ed, thank you for the question. And we continue to have the same sort of runway we articulate last quarter where we believe that cash runway will take us into, well into the first half of 2023 as noted this quarter, we burned about $1.1 million a month, and that we anticipate that, that would be a reasonable sort of cash burn. And as I also noted in my prepared remarks we’ve also, have been able to leverage some equipment leasing capabilities as well, which will further augmented our cash flow.
Ed White: Great. Thank you.
Jay Roberts: Thanks Ed.
Operator: Thank you. [Operator Instructions] And it does appear, there are no further questions in queue at this time. And with that, I would like to pass the floor back to Jay Roberts for closing remarks.
Jay Roberts: Okay, thank you operator, and thank you all for joining the call today. We’re very happy with that progress so far as an emerging global drug discovery company that is rapidly identifying small and large molecule therapeutics to treat CNS and oncology-related diseases. We look forward to keeping everyone informed of our progress along the way. And thanks again for joining the call today and have a great evening.
Operator: Thank you, ladies and gentlemen. This does conclude today’s conference call and webcast. You may disconnect at this time. Thank you again for your participation. And have a wonderful day.